Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Rattler Midstream, First Quarter 2020 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker presentation, there'll be a question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]I would now like to turn the conference over to your speaker today, Mr. Adam Lawlis, Vice President of Investor Relations. Please go ahead, sir.
Adam Lawlis: Thank you. Good morning, and welcome to Rattler Midstream's first quarter 2020 conference call. During our call today, we'll reference an updated investor presentation which can be found on Rattler's website. Representing Rattler today are Travis Stice, CEO; and Kaes Van't Hof, President.During this conference call, the participants may make certain forward looking statements relating to the company's financial condition, results of operations, plans, objectives, future performance, and businesses. We caution you that actual results could differ materially from those that are indicated in these forward looking statements due to a variety of factors. Information concerning these factors can be found in the company's filings with the SEC. In addition, we will make reference to certain non-GAAP measures. The reconciliations with the appropriate GAAP measures can be found in our earnings release issued yesterday afternoon.I'll now turn the call over to Travis Stice.
Travis Stice: Thank you, Adam. Welcome everyone, and thank you for listening to Rattler Midstream's earnings conference call, covering results for the first quarter 2020. Before we get started, I would like to take a minute to extend our thoughts and prayers to all those affected by the COVID-19 pandemic. The challenges presented so far in 2020 are unprecedented, but our perseverance is evident in the decisive actions we have taken to preserve our strength through this cycle.Turning to results, Rattler's first quarter continued the previous trend of increasing volumes, earnings and cash flow since Rattler's IPO less than a year ago. Produced water volumes and gas gathering volumes were particularly strong in the first quarter up 5% and 13% over the previous quarter respectively, while oil gathering and sourced water volumes were down 1% and 7% over Q4 2019 due to the effect of Diamondback reducing completion activity in March.First quarter financial results reflected the strong operational performance in the quarter, as Rattler grew net income 6% quarter-over-quarter to $55 million and adjusted EBITDA grew to over 14% quarter-over-quarter to $81 million in the first quarter. The company continued to build out our various systems, spending $52 million on midstream capital expenditures in the quarter and contributing $33 million to equity method joint ventures.Both the Gray Oak and Epic Crude pipelines begin full commercial service in April and will contribute meaningfully to the cash flow and adjusted EBITDA going forward. Three of our five equity investments are now operational with the Wink to Webster pipeline expected to come online in the first half of 2021. To conserve capital, we have delayed our Amarillo Rattler gathering and processing joint venture to late 2021 based on the current outlook.Rattler is focused on capital and cost control across the board, as evidenced by our immediate reduction to operated CapEx spend when Diamondback pulled back its activity levels in March. We will continue to drive down operating costs and preserve capital wherever possible.Although the forward outlook has weakened, we are very confident in the resiliency of the Rattler business model. Therefore, we announced a $0.29 per unit distribution for the first quarter, which is flat from the previous quarter and in line with previous and current guidance for 2020.The Board intends to review the distribution policy each quarter, but with peer-leading leverage a core business that is expected to be free cash flow positive and differentiated visibility into Diamondback's future activity, Rattler is well positioned to maintain its current distribution policy.Looking forward to the rest of the year, we are reiterating our previously announced guidance of adjusted EBITDA for March, which at the midpoint implies growth of 6% year-over-year even in a depressed commodity price environment. Furthermore, operated midstream CapEx guidance at the midpoint implies a decline of approximately 50% from 2019.Across our organization and our partners, we are evaluating ways to conserve capital as evidenced by the reduced equity method contribution guidance for 2020, which is roughly 20% down from the previous guidance.Most importantly, the net effect of our updated 2020 guidance shows the resiliency of Rattler's free cash flow profile as the decline in system volumes and EBITDA is more than offset by declines in operated midstream CapEx and contributions to equity method investments.In conclusion, I want to emphasize that Rattler was set up to be a sustainable self-funding business to combat the inherent volatility in our business. While diversification of customers is often seen as a benefit in the midstream space, we view Rattler's concentration with Diamondback as a clear positive.Diamondback's cost structure with low interest expense, low leverage, industry-leading low cash G&A, a full hedge book, strong midstream contracts, and minimal ownership through vital energy partners, has prepared it to operate in a lower for longer oil price environment.With these comments now complete, operator, please open the line for questions.
Operator: [Operator Instructions] Jeremy, your line is open.
James Kirby: Hey, guys. This is James on for Jeremy. I just wanted to start kind of a high-level question just looking at the JV portfolio. How are you -- maybe if you can go just one by one in terms of the capital spend you expect this year? And then, also just focusing more on exiting Gray Oak. How you see those pipes progressing through 2Q here?
Travis Stice: Yes. So in this case, I'll go through them one by one. The Epic and the Gray Oak pipeline started up in April in full service. We have some small payments left to make on both of those, but not a meaningful number. So we should start seeing some EBITDA contribution and most likely some distributions from one or both of those pipelines this year. We've already received a distribution from Gray Oak. So we certainly expect that to continue onward.Our Reliance JV, the OMOG, JV with Oryx. We've already received a distribution out of that business, and have cut capital at that business. So you're going to expect to see some free cash flow and returns up to the rapid level throughout the year. And then Wink to Webster, which is our third pipeline commitment still on track. And we spent about half the capital required for that pipeline to-date. And we look forward to that pipeline coming on in the first half of the year of 2021.And lastly, our Amarillo Rattler gas, gathering and processing JV we've delayed all major capital spend there until at least the back half of 2021 if not the first half of 2020. So certainly put a lot of dollars to work here and we look forward to receiving some cash back from these investments.
James Kirby: Got it. Thanks. And then just one more for me. I'm looking at the slides. On slide 11 you guys talk about the kind of the savings initiatives with OpEx. Maybe if you could just provide any incremental color on I guess the surface royalties there. Maybe I'm just trying to better understand kind of what the savings are.
Travis Stice: Yes. It's going to be tough to get major savings on surface royalties. It just depends on that particular area and the lease and what the lease says. In some cases you are required to buy on lease water and in some cases the opposite is true. So there's certainly going to be some optimization that we can do. You could if you're buying water at $0.30 a barrel from one section, but two sections over it's $0.10 a barrel makes sense to buy from the cheaper section.So now that everything's slowed down a little bit on the optimization front, we're certainly looking to buy cheaper water and also dispose water on leases or acreage that has a lower disposal rate. So I can't quantify the savings there. There's certainly going to be some optimization, but I think the real savings is going to be on the true OpEx side of the equation where our service partners had reduced costs by anywhere from 15% to 25% across the board.
James Kirby: Got it. Thanks. I’ll stop there. Appreciate it.
Travis Stice: Thank you.
Operator: Your next question comes from the line of Jeff Grampp with Northland.
Jeff Grampp: Good morning, guys.
Travis Stice: Hey, Jeff.
Jeff Grampp: Just sticking on slide 11 here. Kaes, I think, you mentioned -- I guess, first I wanted to clarify our last comment, did you say kind of a 15% to 20% type of reduction is what you guys were targeting? And then could you clarify, if any of that's kind of baked into the existing guidance you guys have put out?
Travis Stice: Yes Jeff and it's hard for us to bake in forward-looking costs reductions -- similar to the Diamondback side, we just like to give you what we're seeing. I think we need to see this prove out in the numbers in Q2 and Q3. But certainly across the board, all costs are on the table. So you have seen some reductions to-date particularly, on -- on the true service side of the equation, and we'll see it run through. And if it results in significantly higher margins we'll update guidance accordingly.
Jeff Grampp: Got it. Understood. And then for my follow-up on the distribution you guys kind of reiterated expectations to maintain that through the rest of the year. Just kind of curious, I guess the sensitivity of that. And maybe if you look at the downside to the extent prices don't firm up or maybe they get weaker through the year presumably, Diamondback make some economic decisions to maybe cut some capital and/or production. How comfortable in that type of environment are you guys -- maybe relying on the balance sheet to maintain the distribution? And maybe in general what's kind of a general level where you may rethink things on the distribution side?
Kaes Van't Hof: Yes. Jeff, I tried to outline in my prepared remarks that the Board intends to review that distribution policy every quarter. And if you look at just the macro view of it Rattler has peer-leading leverage and a core business that's turned into free cash flow positive. So the future is hard to predict, but I can tell you right now that this is just what the Board has committed to is continue to evaluate how we're going to address the dividend or the distribution. But right now, we're proud to post the dividend for this quarter.
Travis Stice: Yes, I think, it goes across the board at all three companies Jeff, that we're going to analyze each distribution or return of capital every quarter. You know, based on the forward outlook today, which assumes some sort of return to work in the back half of the year. We're confident in the distribution today.
Kaes Van't Hof: And I'll tell you, Jeff just again that relationship that Rattler has with Diamondback. We have more visibility into Diamondback's future activity than any relationship between midstream -- with the midstream company. And so we'll utilize that as we try to understand how we're going to navigate the future. But that insight that visibility is truly differential for the Rattler unit holders.
Jeff Grampp: Yeah, I totally agree. I appreciate the comments, guys. Thank you.
Travis Stice: Thank you, Jeff.
Operator: Your next question comes from the line of Spiro Dounis with Credit Suisse.
Spiro Dounis: Hey, guys. Can you hear me?
Travis Stice: Yes.
Spiro Dounis: All right. Perfect. Good morning. First, question just on the volume guidance and focusing on salt water specifically, here. It looks like guidance implies about a 13% volume step down for the rest of the year. Imagine that's heavily weighted to 2Q and 3Q. But, I guess, anecdotally we're hearing about 15% to 20% exit rates or declines in the Permian. And so it seems like you guys obviously, plan on outperforming that. Is that -- just maybe help us just reconcile that? Is that a water dynamic? Is that county specific maybe, science specific? Any help there?
Travis Stice: Yes, Spiro. I really can only talk to Diamondback against Rattler, it has one main customer. And Diamondback's released an exit rate oil guidance of 170,000 to 180,000 bof -- barrels of oil per day versus Q1 at a little over $2.01. So that's at the midpoint a little less than 15% reduction. So that kind of ties to the Rattler numbers we're projecting. I think overall on the disposal business Q2 will be the weakest. Q3 will be flattish to that with a bit of a rebound in Q4 should we return to activity levels.
Spiro Dounis: Perfect. That's helpful. And then just thinking about CapEx here you could say you all staying lean. But to the extent Wink commences activity again late in 2020, I guess is that already predicated in the guidance, or could we see it adjusted higher? And then as we think about next year what's a good base level of CapEx to use if we go into something like a maintenance mode? I think your guidance for the rest of 2020 implies about $25 million a quarter, but it feels like that could be ratcheted down if we're truly in a no-growth scenario.
Travis Stice: Yes. I think like we said in the prepared remarks all costs are on the table. The midpoint of guidance implies $75 million of operated capital spend for the rest of the year. It's probably a little heavier weighted towards Q2 then Q3 and Q4. And I think -- and certainly, the base case Diamondback plan of going back to work in some respect is baked into that guidance. And I think you can use the Q3 and Q4 run rate for 2021 should we be in a maintenance mode through all of 2021.
Spiro Dounis: Perfect. That’s it from me. Thanks, guys.
Travis Stice: Thanks, Spiro.
Kaes Van't Hof: Thanks, Spiro.
Operator: Your next question comes from the line of Pearce Hammond with Simmons Energy.
Pearce Hammond: Good morning and thanks for taking my question. Kaes, given the attractive and robust debt market right now, would you consider doing an offering to pay down the revolver? And then what is the max drawn you'd want to be on your revolver?
Kaes Van't Hof: Yes, Pearce it's a really good question you asked. While the debt market probably looks good for larger cap companies I'm not very confident in that interest rate, we would get at the Rattler level. So I think overall our strategy has been to be patient and we're working with our banks and making sure they're happy and getting everything they need but they're certainly going through a lot of stress right now.And so I think overall for us, over time, I would like to have some sort of term on our revolver and a lead to banks of the borrowings on the credit facility. I just don't think that's in the cards yet. There's certainly – should the market continue to heal, we'll be opportunistic and look at our opportunities in the debt markets.
Pearce Hammond: Thanks, guys. That’s it for me.
Kaes Van't Hof: Thank you, Pearce.
Travis Stice: Thank you, Pearce.
Operator: Your next question comes from the line of Tristan Richardson with SunTrust.
Tristan Richardson: Hey, good morning, gents. Just a quick question. I appreciate the commentary on the cadence of the year at Rattler. With regard to the sponsor call you guys talked about your rig schedule for the rest of the year, as well as the 150 DUCs exiting 2020. Can you talk about either the rig schedule or the DUC inventory and break out how much of each of these are behind Rattler's footprint?
Travis Stice: Yes. Good question, Tristan. I think the majority of them have to have – certainly have Rattler water exposure, whether it's water, freshwater or disposal. So you'll see 100% of those debts go to those – go to Rattler there. Most of our DUCs are going to be in the Midland Basin probably two-third, three-fourth of them. So you probably have less oil exposure and less gas exposure.But nearly 100% on the water and the freshwater side, which is the majority of the cash flow of the business. I'll add – from a capital perspective, we spend capital in preparation before those wells are completed. And so we're prepared from a Rattler perspective to draw down DUCs at Diamondback and not have to spend many incremental dollars on capital of Rattler.
Tristan Richardson: Makes sense. Thanks, guys very much.
Kaes Van't Hof: Thank you, Tristan.
Travis Stice: Thank you, Tristan.
Operator: Your next question comes from the line of Ujjwal Pradhan with Bank of America.
Ujjwal Pradhan: Good morning, guys. This is Ujjwal. Thanks for taking my question. First one on your expectation for remaining free cash flow positive from here. That's great. I really wanted to get at what sort of commodity price assumptions and maybe banks baseline drilling and completion plans is baked in there?
Travis Stice: Yes. I think the base case is some sort of return to activity in the third or the fourth quarter. It's certainly not going to be a major return to activity. I think we're running scenarios from three to four frac throughs a day at the Diamondback level today. And that's baked into the Rattler guidance going forward.I think as we look into 2021, we can go one or two ways. Things can stay weak and we'll be drawing down DUCs at Diamondback and spending very few capital dollars at Rattler. Or the world starts to heal and oil price starts to heal and those activity levels remain constant through 2021.So I think our order right now at the parent is: one, return our curtailed production, which we're going to curtail 10% to 15% of production in May; two, get back to work in a small way back half of the year; and then third, keep production flat.
Kaes Van't Hof: I can tell you just from a Rattler perspective, Diamondback is going to going to want to focus on doing activity that benefits Rattler because Diamondback still owns 71% of Rattler. So we're going to be naturally motivated to do work that benefits Rattler.
Ujjwal Pradhan: Got it. Thank you. That's helpful. And secondly nice cash distribution up around $10 million from your equity method investments. Is that – would you say that's readable from here in the subsequent quarters?
Travis Stice: Some of that was a little one-time with the OMOG JV returning some cash early after the close. But with the two pipelines starting up in the OMOG JV in full steam ahead, I think that number is probably a fair number starting Q2 or Q3 to consistently receive back cash from these investments that we spent so much on.
Ujjwal Pradhan: Great. Thanks, guys.
Travis Stice: Thank you.
Operator: I am showing no further questions. I will now turn the call over to Travis Stice, CEO for closing remarks.
Travis Stice: Thanks again for everyone participating in today's call. If you've got any questions please reach out using the contact information provided.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.